Operator: Good day, and thank you for standing by. Welcome to the Teknova Third Quarter 2022 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Jennifer Henry, Senior Vice President of Marketing at Teknova. Please go ahead.
Jennifer Henry: Thank you, operator. Welcome to Teknova's third quarter 2022 earnings conference call. With me on today's call are Stephen Gunstream, Teknova's President and Chief Executive Officer; and Matt Lowell, Teknova's Chief Financial Officer, who will make prepared remarks and then take your questions. As a reminder, the forward-looking statements that we make during this call, including those regarding business goals and expectations for the financial performance of the company are subject to risks and uncertainties that may cause actual events or results to differ. Additional information concerning these risk factors is included in the press release the company issued earlier today and they are more fully described in the company's various filings with the SEC. Today's comments reflect the company's current views, which could change as a result of new information, future events or other factors. And the company does not obligate or commit itself to update its forward-looking statements, except as required by law. The company's management believes that in addition to GAAP results, non-GAAP financial measures can provide meaningful insight when evaluating the company's financial performance and the effectiveness of its business strategy. During this call, we will therefore use non-GAAP financial measures of certain of our results. Reconciliations of GAAP to non-GAAP financial measures are included in the press release that we issued this afternoon, which is posted to Tecnova's website and at www.sec.gov/edgar. Non-GAAP financial measures should always be considered only as a supplement to and not as a substitute for or as superior to financial measures prepared in accordance with GAAP. The non-GAAP financial measures in this presentation may differ from similarly named non-GAAP financial measures used by other companies. Please also be advised that the company has posted a supplemental slide deck to accompany today's prepared remarks. It can be accessed on the Investor Relations section of Tecnova's website and on today's webcast. And now I will turn the call over to Stephen.
Stephen Gunstream: Thank you, Jen. Good afternoon, and thank you, everyone, for joining us for our third quarter earnings call. Teknova is a leading provider of critical reagents that accelerate the introduction of drug therapies, novel vaccines and molecular diagnostics. We manufacture high-quality customer agents with short turnaround times and are positioned to scale with our customers as they advance their products from discovery to commercialization. This is best exemplified in the cell and gene therapy market, as well as in the synthetic biology and liquid biopsy markets where there's a significant need for custom-made reagents and volumes smaller than 1,000 liters. Our ability to manufacture custom research and clinical grade solutions with short turnaround times enables our customers to reduce the time from discovery to clinical impact. As our revenue growth performance demonstrated this quarter, we continue to see healthy demand growth across our broader customer base. We were encouraged by large custom orders we received from customers in the synthetic biology and liquid biopsy spaces to attractive high-growth end markets for which our custom-made reagents are well suited. As expected, we did see a softening of demand from our early-stage biopharma customers, particularly in cell and gene therapy, which negatively impacted our revenue in the quarter. However, we remain optimistic about this market despite what we believe to be current headwinds. During Q3, we advanced the construction of our new state-of-the-art modular manufacturing facility. In fact, we successfully completed our very first wet run [ph] demonstrating the end-to-end functionality of the manufacturing platform. This facility remains on track to be operational by the end of 2022 for research grade production and will ultimately give us the capacity to manufacture approximately an additional $150 million in product revenue when fully utilized. After the opening of the facility, we will continue to work on validation activities to meet our goal of producing GMP-grade products for sale by mid-2023. On the R&D front, we have made great progress advancing our new product pipeline. Last month at the annual Cell & Gene Meeting on the Mesa, we introduced an early access program for two novel products intended to streamline downstream gene therapy process development. We're already seeing interest in both products with numerous customers reaching out to participate. In addition, earlier today, based on customer demand, we announced a new WFI Quality Water product line to help address critical supply chain challenges in bio processing. We have onboarded nearly all the critical hires we required to execute our growth plan over the coming years. Teknova has grown significantly since our public offering, and I want to thank all of our associates who dedicate - whose dedication has been and will continue to be critical to our success. Matt will provide specific comments on our guidance. But I want to give an update on some of the trends we are seeing in Q4 and some directional thoughts on what we are anticipating heading into 2023. We remain optimistic about the long-term potential of early-stage biopharma despite the recent deferrals of large orders from customers in this segment. We continue to engage with these customers, including with those who have deferred orders while establishing a strong pipeline of opportunities that we believe may begin to generate additional revenue mid to late next year. For the next several quarters, however, we continue to anticipate a headwind from limited early-stage biopharma purchases, which we expect to be partially offset by growth in other markets. With the certification of our new facility to produce GMP critical [ph] reagents anticipated mid next year and the recent investments we have made to expand our commercial and marketing teams, we are focused on building our commercial pipeline. Heading into 2023, we will have completed a planned 2-year period of accelerated investment that has prepared our business to scale commercially over the next 5 years. As a result, we anticipate a significant decline in our capital expenditures in 2023 and comparatively moderate increases in our operating expense base going forward. We are committed to creating value for shareholders through strategic capital allocation that balances investment for future growth, while also ensuring a path to profitability. I will now hand the call over to Matt for a discussion of the financials.
Matthew Lowell: Thanks, Stephen, and good afternoon, everyone. We delivered solid results for the third quarter of 2022. Total revenue was $10.7 million for the third quarter of 2022, a 14% increase from $9.4 million in the third quarter of 2021. On a trailing 12-month basis, excluding sample transport revenue, total revenue increased 29% over the prior 12-month period. Given our small overall revenue base and the potential for large orders to drive some variability in our growth rates, we believe trailing 12 months revenue growth is a useful additional metric to track our growth. By way of reminder, Teknova launched the sample transport product in the latter part of 2020 to address the urgent need for COVID-19 tests, and we no longer market or manufacture this product. Lab Essentials products are targeted at the research use only, or RUO, market and include both catalog and custom products. Lab Essentials revenue was $9.5 million in the third quarter, a 32% increase from $7.2 million in the third quarter of 2021 and a 21% increase on a trailing 12-month basis. Several large custom orders contributed to the strong revenue performance this quarter. Revenue growth reflected an increase in both the number of active customers and average revenue per active customer over the last 12 months compared to the prior 12-month period. Clinical Solutions products are made according to good manufacturing practices, or GMP, quality standards and are primarily used by customers in the clinical development or commercial release phase of a therapy or diagnostic. Our Clinical Solutions revenue was $0.9 million in the third quarter, a 46% decrease from $1.7 million in the third quarter of 2021 and a 68% increase on a trailing 12-month basis. Even as revenue was down in the quarter, the number of active customers has increased in the last 12 months compared to the prior 12-month period. Moving to income statement. Gross profit for the third quarter of 2022 was $4.8 million compared to $4.3 million in the third quarter of 2021. Gross margin was 44.6% in the third quarter, which is down from 45.4% in the third quarter of 2021. Additional headcount resulted in higher labor costs, which primarily drove the decline in gross margin in the third quarter of 2022. Operating expenses for the third quarter of 2022 were $27.7 million compared to $8.2 million in the third quarter of 2021. Operating expenses increased due primarily to a $16.6 million goodwill impairment charge recorded during the third quarter of 2022, as well as to additional headcount, stock-based compensation expense and marketing costs. The market price of Teknova's common stock and therefore, the company's market capitalization declined significantly during the third quarter of 2022. The company, therefore, performed interim goodwill impairment testing and determined that goodwill was fully impaired, resulting in a onetime $16.6 million non-cash charge. As of September 30, 2022, the company had 286 associates, up 21% from December 31, 2021, but down from 295 associates as of June 30, 2022. This marks the third consecutive quarter in which operating expenses range between $11 million and $12 million, excluding the onetime impairment charge. Net loss for the third quarter of 2022 was $22.5 million or $0.80 per diluted share compared to the net loss of $3.3 million or $0.12 per diluted share for the third quarter of 2021. Adjusted EBITDA, a non-GAAP measure, was negative $4.6 million for the third quarter of 2022 compared to negative $2.7 million for the third quarter of 2021. On to cash flow and balance sheet highlights. Capital expenditure in the third quarter was $6.6 million compared to $3.9 million in the third quarter of 2021. The majority of spend in the third quarter went towards our new facility. We also continue to make investments in our current production facilities. By the end of Q4, we will have incurred the great majority of capital expenditures related to the new production facility. Free cash flow, a non-GAAP measure, which we define as cash provided by or used in operating activities, less purchases of property, plant and equipment, was negative $14.9 million in the third quarter compared to negative $8.7 million in the third quarter of 2021. This decrease compared to the prior year period was primarily due to lower adjusted EBITDA and a significant increase in capital expenditure. Turning to the balance sheet. As of September 30, 2022, we had $49.9 million in cash and cash equivalents, and $17.1 million in gross debt. And for our 2023 outlook - turning to our 2022 outlook, excuse me, turning to our 2022 revenue guidance and outlook. Our updated revenue guidance is $40 million [ph] to $42 million. At the midpoint, this guidance assumes revenue growth of approximately 16% as compared to 2021, excluding sample transport. With respect to business lines, we now expect year-over-year Lab Essentials revenue growth of approximately 15% and Clinical Solutions revenue growth of at least 25%. With that, I'll turn the call back to Stephen.
Stephen Gunstream: Thanks, Matt. Overall, we are pleased with our third quarter 2022 performance and the progress we have made against our strategic priorities. The fundamental growth opportunity for Teknova remains unchanged, and we are confident in our ability to help our customers accelerate the introduction of novel therapies, tools and other products through our unique ability to manufacture custom-made reagents and volumes smaller than 1,000 liters with short turnaround times. We will now take your questions.
Q - Unidentified Analyst: Sam Martin [ph] on for Matt Larew. Just one question. What impact has the company seen from inflation? And have you been able to successfully pass it along through price increases? If not, how do you see inflation impacting gross margin in the fourth quarter in 2023, although it might be a little too early to speak about that. And previously, you mentioned that you were slowing hiring to control costs. Can you just speak a little bit about how labor costs have impacted margins? And have you know you made any changes to your hiring strategy? I know you touched briefly on that on the call. Thanks.
Stephen Gunstream: Okay. Maybe I'll start and then hand it off to you Matt. From an inflation perspective, we do pass on the cost to our customers through price increases and have been able to do so thus far. You have to remember that our cost of materials itself are not the majority of cost, we do have other overhead and labor in there as well, most of which we can pass through. So we do not see this as a sort of a going-forward headwind for us, although we watch it very closely and are monitoring as we go forward. I'm not sure we're ready to comment on Q4 2023 inflation at this point.
Matthew Lowell: Yeah. I think your - Sam, the other part of your question related to hiring and cost of hiring, if I got that correctly. I would just say, from my perspective, certainly, as we've been through the last several quarters, with the tight hiring market, there has been inflation also with respect to our labor costs. But we've also been adding people just to grow our capabilities. So we've had both of those factors impacted. We have slowed down the hiring compared to what we were seeing earlier in the year. And as I indicated in my remarks, we're actually down quarter-to-quarter on the total headcount on a net basis. That wasn't necessarily a decision driven by inflation per se. It's just where we are with the business, but it is a trend we're seeing nonetheless.
Stephen Gunstream: So just real quick, Sam. I want to add to that. On the hiring side, you heard Matt talk about holding OpEx for the last 3 quarters, that $11 million to $12 million. We believe that we have the critical hires we need to execute the entire growth plan. So that kind of gives you an indication of how we're managing the business going forward.
Unidentified Analyst: Thank you, guys. Appreciate it.
Operator: Thank you. [Operator Instructions] Thank you all for your participation in today's conference. This does conclude the program. You may now disconnect.